Operator: Good morning and welcome to the THL Credit’s Earnings Conference Call for its First Fiscal Quarter 2015 Results. It’s my pleasure to turn the call over to Ms. Stephanie Sullivan, Chief Legal Officer and General Counsel of THL Credit. Ms. Sullivan, you may begin.
Stephanie Sullivan: Thank you, operator. Good morning and thank you for joining us. With me today are Sam Tillinghast and Chris Flynn, our Co-Chief Executive Officers; Terry Olson, our Chief Operating Officer and Chief Financial Officer. Before we begin, please note that statements made on this call may constitute forward-looking statements within the meaning of the Securities Act of 1933 as amended. Such statements reflect various assumptions by THL Credit concerning anticipated results are not guarantees of future performance and are subject to known and unknown uncertainties and other factors that could cause actual results to differ materially from such statements. The uncertainties and other factors are, in some ways, beyond management’s control, including the factors described from time-to-time in our filings with the Securities and Exchange Commission. Although, we believe that the assumptions on which any forward-looking statements are based are reasonable, any of those assumptions could prove to be inaccurate, and as a result, the forward-looking statements based on those assumptions also could be incorrect. You should not place undue reliance on these forward-looking statements. THL Credit undertakes no duty to update any forward-looking statements made herein. All forward-looking statements speak only as of the date of this call. Our earnings announcement and 10-Q were released yesterday afternoon, copies of which can be found on our website along with the Q1 investor presentation that we will refer to during this call. A webcast replay of this call will be available until May 19, 2015, starting approximately two hours after we conclude this morning. To access the replay, please visit our website at www.thlcredit.com. With that, I’ll turn the call over to Sam.
Sam Tillinghast: Thank you Stephanie and good morning everyone. Thank you for joining this morning’s call covering the results of THL Credit’s first quarter ended March 31. Last month marked our five-year anniversary as a public company and we would like to begin this call by sincerely thanking all of you for your interest in and support to THL Credit. As our agenda for this call, I will be providing an overview of our financial highlights and liquidity, Chris will be discussing recent investment activity in the portfolio and some recent additions that we’ve made to the team and Terry will take us through our financial performance in more detail, then I will wrap up with some closing remarks. Our net investment income for the quarter was $0.35 per share compared to an ordinary dividend of $0.34 paid at the end of March. This was the fourth consecutive quarter where our net investment income per share exceeded our dividend. Our net investment income for Q1 represented a 10.7% annualized return on our Q4 2014 ending net asset value. Since our IPO, our net investment income has exceeded ordinary dividends paid on an aggregate basis. Additionally where appropriate, we have declared and paid special dividends on top of our ordinary dividends. This thoughtful approach has allowed us to pay dividends at attractive yields while retaining approximately $6 million of undistributed net investment income on our balance sheet. A summary of our earnings and dividend history is reflected on page 15 of the investor presentation. We are pleased to announce that on May 5th, our Board of Directors approved a quarterly dividend of $0.34 per share for the second fiscal quarter 2015 which is payable on June 30th. As you probably heard on other earnings calls, the first quarter was generally slow in the middle market. We finished the first quarter with 57 portfolio investments, valued at $748 million, down from $784 million at the end of Q4. For the quarter, we invested $18 million in follow on transactions. Realizations and repayments for the quarter totaled $59 million. In the first quarter, our focus continued to be adhering to our credit standards, maintaining our yield requirements and staying fully invested within our target leverage range. Despite the repayment of the two higher yielding subordinated debt investments, we were able to maintain the weighted average yield on our portfolio of 11.7%. As you can see on page 10 of the investor presentation, our investment activity can fluctuate from quarter-to-quarter. Chris will be going into more detail regarding our investments in Q1 and investment activity to-date in Q2. We are proud of the returns that we have generated for our shareholders on exited investments. Since our IPO, we have generated and aggregate gross IRR of 18.1% on our exited investments. 95% of these investments produced already 10% gross IRR. We believe this is reflective of vigorous underwriting process and the trusted relationships we’ve built with sponsors, co-lenders and company management through investment. On liquidity front, despite challenging equity markets, we will patient with future equity raises and we’ll do so only when attractive investment opportunities present themselves that will be accretive to our shareholders. We also remain committed to not issuing equity below net asset value. As of March 31, our leverage level is 0.7 times equity which is within our targeted range of 0.6 to 0.75 down from the 0.78 times level as of December 31. We used proceeds from repayment activity to provide additional borrowing capacity on our revolver during the quarter. But we used the proceeds from the sales of our more liquid broadly syndicated names as better risk adjusted yields present themselves in new or follow-on opportunities. Now, I’ll turn the call over to Chris to talk about our recent investment activity, the portfolio and some additions we made.
Chris Flynn: Thanks Sam. As reflected on our five year of stewards of public capital, we wanted to highlight key areas regarding our portfolio construction. If you refer to slide 5, 27 in the investor deck, you’ll see how we’ve shifted our asset mix in the portfolio to maximize the best risk adjusted return for our shareholders. As we sit here today, 73% of our portfolio is secured which is up from 44% at the end of 2012. This moves up the capital structure with by design as we increased our focus on building a portfolio that is downside protection coupled with double digit yield. Our ability to create this attractive portfolio is in part due to the strength and creativity of our underwriting teams, is also a function of the structural shift in the market as many traditional banks have reduced lending in the market to increase regulatory pressure. We’ve been able to leverage our platform to take advantage of this void and expect this trend to continue as more alternative capital is used to satisfy demand in the middle market. As we noted in our earnings release today, our investment activity for the quarter was somewhat slower due to the market and our prudent and disciplined approach to investing and optimizing our portfolio. We deployed $18 million of capital during the quarter of follow-on investments and four existing portfolio companies. The first is THL Credit Logan JV, or Logan which I’ll talk about more in a moment. We also made follow-on investments in Harrison Gypsum, Wheels Up in support of growth and acquisitions and equity on Virtus and Freeport. Our investment activity to-date in Q2 totaled $29 million that consisted of new investments and several follow-on investments. The weighted average yield on these income producing investments was 12%. We continued to ramp our investment and our leverage senior loan joint venture Logan, $25 million at the end of Q1 which provides an attractive risk adjusted yield to our shareholders. Through March 31, the Logan JV increased the size of its portfolio to $76 million in 46 companies, up from $31 million and 22 companies at December 31. The $76 million included $60 million of first lien loan and $9 million in second lien investments and more broadly syndicated. The remainder wasn’t directly originated first lien investments that we intend to build over time as we optimize this portfolio. In Q1, Logan declared its first dividend of which our share was $328,000. We recently increased the size of this program with our Perspecta increasing the commitments to the Logan JV to $250 million of which THL Credit share is $200 million. As we mentioned in our last call funding such commitments will be driven in part by investment capacity and market opportunities. As anticipated at the outset, the Logan JV also increases the size of its credit facility with Deutsche Bank at $75 million there in Q2. Our overall portfolio remains well diversified across industries and by asset class while we predominantly invest in first lien secured -- first and second lien secured investments; subordinated debt now represents only 9% of the portfolio which is down from 13% at the end of Q4 after Country Pure is due to repayment. 7% of the portfolio is invested in other income producing securities including CLO equity; 3% was invested in the Logan JV and 8% of the portfolio was invested in equity securities based on fair market value. As of March 31, 77% of the debt portfolio was invested in floating rate loans. Notable assets in the first quarter which provided accretive fees included the repayment in full of our subordinated debt investments in Country Pure and Studer as well as our senior secured debt investment in Ingenio. Furthermore, we sold part of our investments in Charming Charlie and BBB Industries adding gain. The overall credit qualities continue to be strong as many of our companies are experiencing some of the benefits of an improving economic environment. As of March 31, 79% of the companies in our portfolio had a fair market basis scored either one or two which means they are meeting or exceeding our underwriting expectations. As of March 31, we had one investment with the credit score 5 which was Dimont & Associates, formerly a subsidiary of Wingspan. As a result of the continued underperformance, we further reduced the unrealized value of our subordinated debt and equity investments and put our debt investment on non-accrual. This investment represents 0.6% of the portfolio cost and 0.4% of its fair market value at March 31st. We continue to need work closer with the company and new management team members to preserve shareholder capital. C&K, where we have a sizable equity investment, continued its positive performance and stabilizations since its emerging from bankruptcy in last August. Before turning the call over to Terry to go through our quarterly financials in more detail, I want to discuss some exciting additions to our team. We recently hired Tom Lane and Brett Hinton who are based in our Los Angeles office. Tom joined the firm as a Managing Director focused on origination structure and underwriting of investments in the media and information services industry. His 25 years of credit experience with a recent focus on the technology set that will be important to us as we grow our West Coast presence. Tom’s background in credit investing is another example of our continued strategy to focus on credit structure and he’s a key differentiator not only to our clients but also our shareholders. In the effort, we have recently realigned our investment teams across our five offices to focus on specific industry verticals. While origination will continue to be regionally focused on our national footprint, we will manage underwriting and execution by industry which will continue to improve the quality and creativity of our structure and credit decisions. Brett joined the firm as a Director focused on new business development across both the direct lending and credible credit platforms. He offers to continue to build on the success of the overall platforms and leverage the investments we made and our presence in the infrastructure over the last seven years. With that, I will turn the call over to Terry to talk more about our financial performance.
Terry Olson: Thanks Chris and good morning everyone. I am going to briefly touch on some additional financial highlights. Our net investment income for the quarter was $11.9 million or $0.35 per share. To highlight the NII drivers, we generated $23.8 million in investment income for the first quarter, of which $19.2 million was from interest income on debt securities, including $0.5 million of PIK interest and $0.2 million of prepayment premiums, $2 million from interest income on other income producing securities, $0.3 million of dividend income and other income of approximately $2.3 million included $0.6 million of fee income from our managed funds and accounts, and $1.7 million of fee income from our investments. Approximately $960,000 of this fee income was non-recurring fee earned on certain portfolio investments. From an expense perspective, in the first quarter, we incurred $11.9 million in expenses including $3 million in base management fees, $3.5 million in fees and expenses related to our credit facilities and notes, $3 million of incentive fees and $2.2 million in administrative, professional and other G&A expenses. We also incurred $0.2 million related to income tax expenses related to our blocker corporation investments, excise and other taxes. Lastly, we had a net change in unrealized depreciation on our investments of $3.7 million during the quarter. This was largely driven by our changes in the financial performance of certain portfolio investments. This appreciation was the principal driver in the growth of our net asset value in Q1. As of March 31st, NAV was $448 million or $13.20 per share compared with $13.08 per share on December 31st or a 0.9% increase. With that, I will turn the call back over to Sam for a few closing remarks.
Sam Tillinghast: Thanks Terry. I would like to make a few summary closing points. Over the last two years, we have built a primarily secured portfolio with a downside protection that generates double-digit yields and provides us with a reliable stream to support our dividend. We are pleased with the overall improvement in the credit quality of our portfolio as reflected in the growth of net asset value in Q1. And lastly, we continue to remain focused on portfolio optimization and maximizing our risk adjusted returns as we seek to deliver strong returns to our shareholders. And with that, we would like to open the line for question, operator.
Operator: Thank you. [Operator Instructions]. And our first question comes from Troy Ward of KBW. Your line is now open.
Troy Ward: Can you just give us a little bit of color on the Logan JV? Looking at the Quarter, it looks like to me that at 331, there is approximately 30, low 30 million of equity drawn and similar amount of leverage placed on it but the upsize of the equity to 250 corresponded with the credit facility going up to 75 million. Can you just speak to the expected leverage you intend to use on the JV?
Chris Flynn: It’s 2 to 1 Troy.
Troy Ward: So you just would expect as you draw down that capital, the Deutsche Bank facility would increase in size?
Chris Flynn: That’s correct.
Troy Ward: And then I know the facility as it is LIBOR plus 250 with no floor, wouldn’t we think about modeling at those, should we think of any additional expenses associated with that? Is there some type of a deferred fee when you started it, may be add 25 basis points or such when we think about modeling?
Chris Flynn: Yes, there’s and undrawn component Troy, so between that and some upfront cost being amortized over time, probably to use the number may be in the 75 basis point max range would be appropriate, 50 to 75.
Troy Ward: Okay.
Chris Flynn: We’re going to try to stay -- we’re trying to be as efficient as we can with the size of the facility at any given point in time. So we’re minimizing the amount of undrawn.
Sam Tillinghast: That’s why you are seeing the steady stat…
Chris Flynn: Right.
Sam Tillinghast: Increase over time.
Troy Ward: Right, okay. That makes sense. And…
Sam Tillinghast: Grow, as we find more attractive opportunities.
Troy Ward: And then, we talk a lot about the middle market, the fact that banks are pulling back. Can you speak a little bit to the competitive nature of what you are seeing in non-sponsored transactions as it relates to maybe non-public entities whether it’d be SBIC funds or other privates’ buckets of money?
Chris Flynn: The market continues to be competitive I think from our perspective as we spend the last seven years building out our five office footprint. We think we’re getting more at that than not. I think the sources of competition that we have vary sponsored versus unsponsored. You’ll see in our portfolio over time, we’ll do unsponsored transactions and we think there is good risk adjusted return and we’ll move up in the capital structure. But from our perspective, we have sufficient opportunities to go out and grow the balance sheet to the extent that we have the capital to do so.
Troy Ward: And then one final one on the new non-accrual demand. I know that’s a new name in the portfolio as it relate last year. But like you said it came out of an old investment you hand in Wingspan. Could you just give us some color, first of all on what they do and how they differ from Wingspan and kind of some color on what’s going on with that investment and is it moves to non-accrual.
Sam Tillinghast: Dimont is involved in hazard claims recovery for mortgage lenders. So, I’ll give you an example; it’s a large bank, has a portfolio of loans, mortgage loans that are in foreclosure. Some of those loans have some kind of damage, a fire, or vandalism or storm damage; and they have lots of interest claims to make. They will outsource work to Dimont. Dimont was acquired just about two years ago by a company call Wingspan. Wingspan was involved more in working on delinquent loans and doing the borrower complaints; it was also outsourced work for mortgage lenders. But Dimont is much more focused in a particular segment. The Dimont’s business -- let me backup a little bit. We’ve restructured the loan; we’ve ended up owning close to a 100% of the equity of Dimont in that restructuring and Dimont’s business continues to do fine. They continue to cash flow on a positive basis but the market for their services has declined with the decline in foreclosures in the market generally. So, we’re continuing to work with the company; we’ve added in some management resources recently. And we think it’s going to take some time to really see improvements there.
Operator: And our next question comes from Lee Cooperman of Omega Advisors. Your line is now open.
Lee Cooperman: Before I asked the question, let me give you a preamble. Warren Buffet, when he announces his repurchase program, he tells investors kind of what his parameters are, stock sales below X% the book value in the cash positions above Y and the outlook is favorable; he will buy stock back. With regards to your authorization, and if I missed it, you didn’t do anything with it. What percent of book value assuming the outlook was stable would you guys want to be in? [Ph]
Chris Flynn: As we just outlined the program last quarter, we continue to have a dialogue with most of the management team, with our Board on when we think it makes sense to buy that. We haven’t announced anything specific as it relates to certain triggers that would happen. But that will be something we can continue to discuss with the board over time to the extent we want to develop a specific program; obviously we’d outline that to the market, to the folks who are -- about work.
Lee Cooperman: So as you have an authorization, you’ve not determined how you use it?
Chris Flynn: We have an authorization; we haven’t announced publicly how we determine to use it.
Terry Olson: Just to add, there is a lot of factors that go into when and the extent to which you use it including liquidity in the portfolio, what your pipeline is looking like, your current leverage levels as well as the stock price where we are trading relative to NAV is also another factor. So I think we’re mindful of several dynamics in the business that are constantly moving. And we’ll make those decisions along the way at times we think are appropriate, obviously in consultation with our board.
Lee Cooperman: Actually try to give you the opportunity to give us some guidelines, the things you’re going be using. But you are not ready to do that yet.
Terry Olson: That’s correct.
Operator: And our next question comes from Doug Mewhirter of SunTrust. Your line is now open.
Doug Mewhirter: The Logan JV, I think we’ve gone on this before when you first said it out. But could you remind me what sort of -- at full capacity, what kind of ROE you kind of shoot for in terms of the sort of the year-on-year equity investment to back to TCRD?
Terry Olson: 12% plus.
Doug Mewhirter: That sounds consistent with what I originally thought. Second question, there seems to be a lot of emphasis amongst you and a lot of your other competitors to go more higher in the cap structure, first lien, unit tranche. I’ve heard some sort of rumblings now that second lien and maybe even some subordinators starting to look more attractive. Are you also seeing that or are you still trying to stay up pretty high in the capital structure?
Chris Flynn: We’re trying to stay pretty high in the capital structure today. If you look back over time, we’ll do mezzanine when we think it makes sense, it’s just from our perspective -- there are a few things that you need to take into consideration, restructuring the investment, it’s not only what your total leverage point is but it’s where your dollar one recovery starts. And in this market when some senior lenders are pushing senior leverage levels deeper in the structure, so your mezzanine portfolio’s recovery starts at 4 to 4.5 to may be 5 turns deep. That loss given the fault in our opinion is pretty high and the incremental yield that you are picking up for taking that risk isn’t sufficient. So from our perspective, as we’ve designed our portfolio and again, these aren’t second lien loans that we are buying, these are securities that we’re having to create from a structural standpoint. We’re able to move substantially up in the capital structure from a recovery standpoint. So there is still usually senior debt in front of us, it’s had a much lower attachment point. So to the extent we did have stress in the portfolio and figuring that loss given the fall should be substantially lower, our recovery should be substantially higher. And if you look at the incremental yield that we are seeing on net security that we’ve created versus just a traditional mezz, that incremental 100 to 150 basis points isn’t sufficient compensation for that higher risk.
Doug Mewhirter: My last question deals with what the opportunity set looks like. I know that the industry actually had a very slow first quarter; it was really no secret about that. It seem to have pick up, during this quarter I assume that you may have been getting some more looks, knowing that you are trading below book value and your leverage is what around 0.7 times; are you sort of consent to sort of recycle your capital, may be push more into Logan, how are you going to manage your pipeline relative to your leverage?
Sam Tillinghast: Those are the things that we are always looking at. We’re always looking at new originations and opportunities, we’re looking at Logan as an opportunity and of course we are looking at the potential to buy back stock. We’ve got some room under the revolver, we’ve got repayments every quarter that average about 50 million that can fluctuate a lot. In the last eight quarters, it’s been as low as close to 30 million and it’s high as close to 70 million, so it’s very hard to predict repayments -- for the prepayments, sorry. And we’ve also got about 65 million in more liquid assets that we could sell. So, those are kind of the factors that we look at.
Operator: Thank you. And our next question comes from Christopher Testa of National Securities Corporation. Your line is now open.
Christopher Testa: Just with Logan again, is that still mostly the broadly syndicated place holder assets? And if so, when should that start shifting more towards direct originations; what would kind of be the pace of that?
Chris Flynn: As of today, the program is so heavily weighted toward more syndicated loans that we are starting to leg-in more directly originated assets. We’ll do more directly originated assets as our equity capital base is able to increase. And we are able to see attractive opportunities. If you go back to when we launched the program, it was a nice time to scale into syndicated market. I think today, where we sit today the market is much harder if you will. So, as you look at the relative value versus less liquid middle market versus liquid, broadly syndicated, the trend is probably more towards those directly originated assets. So, I would expect over time as we increase our equity commitment, the portfolio grows, you see more directly originated assets.
Christopher Testa: Okay, great. And with the Dimont non-accrual, is that a sponsored investment?
Sam Tillinghast: No, it is not.
Christopher Testa: Are you seeing more opportunities open up in the non-sponsored space? I know you guys traditionally do a lot of sponsored.
Sam Tillinghast: We really haven’t seen a change in the market. Our portfolio is about 80-20 sponsored versus unsponsored. And I wouldn’t say that we’ve particularly seen a change in the transactions we’re seeing. Our pipeline of deals that we are screening typically has 45 to 65 transactions on it; we are kind at the low end of that. But the mix of sponsored versus unsponsored has generally been the same for the last year or so.
Christopher Testa: And as you guys kind of move up to capital stack, how does that change your thinking on the CLO residual interests; is that something that you would -- it’s obviously more subordinated but are you not really putting that in the same bucket of second lien when you are looking at that?
Sam Tillinghast: The CLO residual equity investments that we have are really much more opportunistic. They are not part of kind of day-to-day origination of new investments that we make. As I think you guys know, there’s really two sides to the house at THL Credit, there’s direct lending which includes the BDC and then there’s tradable credit which includes our CLO manager. The tradable credit side of the house manages about 4.6 billion in CLOs and separate accounts and closed in fund. And when they see interesting investments opportunities from other managers who manage CLOs will participate. That over the last three or four years as met we’ve done may be one, occasionally two deals a year there. And it’s only about 5% of our portfolio. So, it’s not an important part of our investment strategy I would say.
Christopher Testa: And just last question. Are you guys seeing a lot of opportunities in the oil and gas states that are not oil and gas where maybe the pricing has come back favorably a bit in other industries in Texas, maybe technology, finance et cetera?
Chris Flynn: I would say we’re seeing nothing particularly unusual there. In terms of energy transactions, it’s been relatively slow in the middle market. In terms of transactions out of Texas and Oklahoma and those states, it really hasn’t changed. We have not seen anything different particularly there. Texas is always a good state for us in terms of opportunities but nothing particularly that I think has been effected by the change in oil and gas price.
Operator: And our next question comes from Jonathan Bock of Wells Fargo Securities. Your line is now open.
Jonathan Bock: Terry, the first question, your shelf, have you updated or filed your shelf with the SEC recently? I know to the extent the stock approaches book value, equity capital given your patience is something you are considering. Where are you in the statement of the filing of that shelf?
Terry Olson: Our current shelf is effective through June 1st. We put our -- an amended shelf on file at the end of March and we’re not working through some comments with the staff to get that effective in the coming weeks.
Jonathan Bock: Great. So a question, where are your unfunded commitments today, all totaled? And what would your debt to equity ratio be to the extent you had to include your unfunded commitments which is perhaps maybe a comment you’ve either received or may likely will receive in the future as how the regulatory leverage is calculated and whether or not unfunded commitments should be included?
Chris Flynn: We certainly heard the buzz on that. And I think the staff’s view -- has expressed a view that such unfunded commitments could arguably viewed as part of the calculation without including the liabilities. I actually haven’t done the math but I would exclude the Logan venture from that outright just given that it is the discretion of the investment committee of Logan that dictates whether or not that capital goes in. As to the remaining amounts, we do not believe those would be characterized even under what the SEC is currently saying as senior securities in the structure. And we have what we view and I think a number of other BDCs view as a very -- what I will call the sensible view on that. I think we have about $40 million of unfunded commitments. I am trying to flip through the Q, Jon, I have got you here.
Terry Olson: We can come back and give you the specific number once we’ve done the math.
Jonathan Bock: So yes, I mean 40 kind of using that as a bogy. And then jumping back to Lee Cooperman’s question as it relates to the buyback; you guys are -- and imagine one would be known spokes that do what you say and when you put out a stock buyback, certainly there is nothing more disappointing in the BDC space to see it not utilized. I’d imagine there were structural constraints that limited your ability to use it. So, the question that I’ll ask now not at what price but when are and what the effective dates at which you’re allowed to repurchase shares today?
Terry Olson: We are constrained in the first quarter of course, given the timing of when we announced the program released earnings. As I mentioned in my comments to Lee, we’re really not of the view of trying to put a timeframe around this or an amount around this; we don’t think that’s in the shareholders interest to dictate when and how much we’re going to do that. That being said, I think I got a big group here on the call last quarter to the mid May timeframe as having a window of opportunity without 10B51 formality to the program to effectuate transactions if we saw the opportunities. And to go back to my earlier point, our view of when we pull the trigger on such buybacks would be dictated by several factors which I previously had mentioned.
Jonathan Bock: So obviously leverage, people understand; available liquidity, ability to acquit a pipeline, all these come together. But when we look at the net, the net math of what you put on the balance sheet relative -- even including in the JV relative to what a stock buyback is on an equivalent asset yield base is effectively buying back your stock today is in excess, generates a similar return as it would be if you had lent to a company at 17% plus rates of interest. I’d argue that it is within your shareholders’ best interest to see [indiscernible]. And so while leverage can trickle up, the question is, Terry, you guys were able to sell Charming Charlie and I would imagine you have a number of very attractive assets that fetch bids in this market and if your NAV is what it is and your ability is to kind of sell assets at the fair value mark, why you wouldn’t consider selling assets in order to buy back stock just given that it creates a significant amount of value which is likely why Lee asked the question?
Sam Tillinghast: You make a good point; we think a lot about that. We don’t disagree with the points you are making. I think the only thing I would add to is that there are considerations as you know other than just a simple math equation as to what provides the best return, right? I mean we have -- the reason that we are able to maintain the yields that we provide is because of the relationships that we have locked up over the years with private equity firms and other lenders. And so we have to keep capital available to continue to service those important relationships, otherwise we won’t be able to hit our yields over the long-term.
Jonathan Bock: I would completely agree and Sam, it is a well found point. But I would argue the most important relationship would be the relationship that shareholders have with you to trade your stock above book value. And to the extent that capital allocation isn’t in line with what shareholders expect and they choose to move other places, then you won’t be able to facilitate the sponsor relationships because eventually you will have no more dry powder. So, we appreciate the thoughts, the analysis and to the extent that buybacks are possible, I would say that it couldn’t come at a better time as you guys really do have a good standing. And so we really appreciate you taking the time and my questions.
Terry Olson: I wanted just to add one follow-up point just in terms of you raised the point of doing what’s right for the shareholder. I think if you look back over five years, we have done just that. When you think about doing what’s right, we have only done two follow-on equity raises; we’ve done significant premiums to book value. We’ve never suggested that we would issue below book value. And I think holistically looking at $200 million of equity raised over five years and a $25 million buyback program, what we certainly is economic benefits you are speaking of. We’re not oblivious to the big picture. And I think you got to look at it holistically how we treat shareholders on all of our equity matters. And I think those equity issuances are just as -- and when we did them are just as bigger drivers as the execution of a buyback program, considering all the other factors we talked about.
Jonathan Bock: That is a fair point, Terry. And I think the way folks look at it is given your conservatism, given the strength of the current team and the team that came before you, making shareholder friendly decisions won’t be difficult. And so, I would imagine they will continue to look for share buybacks as we and others will. So, we appreciate your time and thanks for taking my questions.
Operator: Thank you. And our next question comes from Chris York of JMP Securities. Your line is now open. Chris York, your line is now open.
Chris York: My questions on the buyback have been asked and answered. Thank you.
Operator: Thank you. And our next question comes from Troy Ward of KBW. Your line is now open.
Troy Ward: I just had a quick follow-up. We’ve talked a lot about the new JV and structured finance. Can you just give us some color on what you are thinking about the Greenway funds? Obviously you have two outstanding. Can you give us a little bit of a indication on where those are from a balance standpoint? And if you look at the income generated from that this quarter, right at 600,000; is that something that would stay flat or we should expect to slightly decrease and is there any potential for to reload a third Greenway fund?
Terry Olson: On Greenway I, has about $50ish million -- $40 million of assets left and Greenway II I think is now fully ramped at about $180ish million. And I guess if you look at, one of the things we generate fees from is from upfront fees and transactions, so a little bit of a tail off in fees as a result of Greenway II being fully ramped. So we are not generating as much fee income on the front end of that. So, I would expect as we talk the fees can vary anywhere from generally in the past kind of $650,000 to $800,000 a quarter. I would say probably a new normalized run rate given where they are in the ramp is probably closer to 575 to 700 it could depending on activity that goes on periodically. To your point on Greenway, a future fund -- I think again the premise of Greenway was to help us to scale the business at a time when our ability as a public entity was constrained by the size of the balance sheet. Given our size today, we feel comfortable that the existing entity can equip the opportunities in full that we have in front of us.
Troy Ward: And is Greenway II -- is it out of the reinvestment period?
Terry Olson: It is.
Operator: Thank you. And I am showing no further questions at this time. I would like to turn the conference back over to Mr. Sam Tillinghast for any further remarks.
Terry Olson: Sam, before you begin, this is Terry. I am sure Jon is on the call still. Jon, you’d raised the point, if you are still listening, regarding what our leverage would be if you included the unfunded commitments as part of the asset coverage test and it would take our leverage to 0.77 times, we have about $32 million in unfunded commitments excluding the Logan JV. So nothing that would trip us up if that were the ultimate ruling of how that was to be considered.
Sam Tillinghast: Thanks Terry. Thanks everybody. We appreciate your questions and look forward to speaking with you next quarter.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Have a great day everyone.